Operator: Good day, and welcome to the Q2 2014 DHT Holdings Inc.’s Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Eirik Ubøe. Please go ahead sir.
Eirik Ubøe: Thank you, and good morning to everyone. Before we get started, I would like to make the following remarks. This conference call is also being broadcast on our website at dhtankers.com, and a replay of this conference call will be available on the website. In addition, our Form 6-K, evidencing this news release, will be filed with the SEC. As a reminder, this conference call contains forward-looking statements that are governed by the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, which include statements regarding DHT’s prospects, the outlook, tanker market in general, expectations regarding daily charter hire rates and vessel utilizations, forecasts of world economic activity, oil prices and oil trading patterns, expectations regarding seasonal fluctuations in tanker demand, anticipated levels of new building and scrapping and projected drydock schedules involve risks and uncertainties that are more fully described in our filings made with the SEC. Actual results may differ materially from expectations reflected in these forward-looking statements. And with that out of the way, I’m here, this morning joined by Svein Moxnes Harfjeld and Trygve Munthe, our Co-CEOs of DHT. And with that, I’ll turn it over to Svein Harfjeld.
Svein Moxnes Harfjeld: Thank you, Eirik. And good morning to all, and thank you for listening in on our earnings call. We’ll now go through the highlights of the quarter. EBITDA for the quarter came in at $1.6 million with a net loss for the quarter of $8.1 million, equal to $0.12 per share. The operating expenses reflect an increase in operating fleet by three VLCCs. Further, the expenses reflect startup costs and upstoring related to the delivery of DHT Condor, DHT Hawk, and DHT Falcon. You should note that these three VLCCs came out of some of stressed situations, hence their spare part inventory and general stores levels were below what is deemed to be adequate. The majority of this has been resolved and has been expensed in the quarter. Additionally, we have three VLCCs, namely Ann, Chris, and Eagle, undergoing intermediate surveys during the quarter. We will pay a dividend of $0.02 per common share for the quarter, payable on September 17 for shareholders of record as of September 9. We acquired a 2004 built VLCC for $49 million, which was delivered at the end of May. She has been renamed DHT Condor, and the acquisition was financed with cash on hand. She completed her second special survey on drydock in July. During the quarter, we entered into firm commitments for the debt financing of four of our newbuildings under construction at Hyundai. The financing equals about 50% of the contract prices with an average margin above LIBOR of 2.5%. Assuming a LIBOR of 0.25%, the average total debt service, i.e. interest and installments per vessel per day is estimated to about $11,100 in the first year after drawdown. The financing commitments are subject to final documentation. We view the debt market as favorable, and we will pursue raising financing for the remaining two vessels in due course. At quarter-end, we had a fleet of 7 VLCCs, 2 Suezmaxes, and 2 Aframaxes, totaling about 2.7 million deadweight tons in operation and 6 VLCC newbuildings totaling about 1.8 million deadweight tons under construction. The purpose of this call is to discuss our second quarter results. It is our policy to look to comment on market speculation. With that, we’ll open up for a Q&A session. Moderator, please.
Operator: Thank you. (Operator Instructions) We will now take our first question from Jon Chappell from Evercore. Please go ahead. Your line is open.
Jonathan B. Chappell – Evercore Partners: Thank you. Good afternoon, guys.
Svein Moxnes Harfjeld: Good morning.
Jonathan B. Chappell – Evercore Partners: My first question is around your current liquidity. Based on the cash on your balance sheet today and any debt that you could draw down on some of the current assets and your new building commitments, what would you estimate your current liquidity to be if there were any opportunities in the secondhand markets today?
Svein Moxnes Harfjeld: I think we should assume that with our current liquidity, we will not make any additional investments.
Trygve P. Munthe: Since as we said, before Jon, essentially, what’s on the balance sheet today is earmarked for the pre-delivery installments on the new builds.
Jonathan B. Chappell – Evercore Partners: Right. okay. so, there is no kind of free cash on the balance sheet, everything is stat as we stand today. All right. and then just one other question, you’ve kind of evolved a little bit from focusing on secondhand assets two years ago to more of an eco-focus with a lot of your VLCC newbuilding orders over the last 12 months. as you look at, as you compare and contrast the benefits of those two; one, getting the assets on the water today versus two to three years down the road, versus two, the fuel efficiencies of the newer ships, how do those kind fit today as far as your priorities are concerned?
Svein Moxnes Harfjeld: I think you hit on all the key points that, of course, newbuilds that if you were to replace additional orders at this point, the delivery is going to be a few years down the road, and the market forecasting is always difficult, but of course, the further out you go, the more difficult it is, and specifically for us, a key assumption in our bullish outlook on the intermediate term is that we think the fleet is not going to grow measurably over the next couple or three years, but after that, then really anything could happen, so I think that is one point. Furthermore, as we have expressed before, we would like to take our share of the responsibility for not overbuilding this market. So, we feel that the ships that we have contracted for is a decent number given the size of DHT. and of course, then on the secondhand over the past year, I think you are seeing secondhand values appreciate some 30%, 35%. so of course, you could have made more compelling investments a year ago, but we think that even at today’s levels, chances are that these are going to turn out to be good investments. you still look at the break-even numbers and required rate numbers that have the low historic averages, and we think it’s important to remind oneself that a recovery is not back to historic averages. we think the recovery is back to peaks way above the averages. So we think there is significant upside to be had as well.
Jonathan B. Chappell – Evercore Partners:
Trygve P. Munthe: The majority was expensed in the second quarter. There will be some minor carry-overs for the next few months, but those will not really have any big impact on our quarterly OpEx levels.
Jonathan B. Chappell – Evercore Partners: All right. That’s all I had. Thanks, Svein. Thanks, Trygve.
Svein Moxnes Harfjeld: Thank you.
Trygve P. Munthe: Thank you.
Operator: Thank you. (Operator Instructions) We will now take our next question from Mark Suarez from Euro Pacific Capital. Please go ahead. Your line is open.
Mark Suarez – Euro Pacific Capital, Inc.: Hi, good morning, guys, and thanks for taking my questions here. If we can just go back to the most three recent acquisitions from the VLCC side, are you still focusing on that segment and are you starting to see maybe some more sales candidates coming to the market that sort of meet your expectations from a pricing standpoint?
Trygve P. Munthe: I think we have a focus on all the three asset classes that we are in – Aframaxes, Suezmaxes, and VLCCs. But switching back a year, we felt that VLCCs had their most compelling – and were the most compelling investments we could make. And we have been trying to pursue opportunities in the Suezmax phase, but there’s far less liquidity, and that’s the second in the market for secondhand vessels than it has been VLCCs. Hence we haven’t really been able to identify opportunities that we wanted to execute them. On the asset side, we have spent less time on the two bigger classes, we would say, but it’s – we are certainly not ruling out that at all. So, that again, we are in these three classes and we intend to stay in those for the timebeing.
Mark Suarez – Euro Pacific Capital, Inc.: Got you. And if you were to pursue that route, let’s say if you were to find good candidates in the Suezmax space, will you have to go back into the market and maybe do another capital raise for additional secondhand acquisition here?
Trygve P. Munthe: I think as Svein alluded to in the previous analyst question, our current balance sheet – we do not think it provides for any additional acquisitions without more risk capital, so...
Mark Suarez – Euro Pacific Capital, Inc.: Got you. Okay, yes, that’s helpful. And then finally just on – you talked about not being hesitant in maybe picking up or going after newbuilds, as you want to be responsible in sort of an industry not to over contract more vessels, but have you seen any recent opportunities as to maybe taking over existing new build contracts or maybe vessels that could be delivered over the next 12 months to 18 months, if you will?
Trygve P. Munthe: There has certainly been some talk about that. and as you see in the Scorpio for disposal of some contracts to another new work outfit. And of course, this is different from our perspective, because these are orders already placed, and these ships are going to be built and delivered. So that has some more appeal to us than to add to the order book by signing up for new ones.
Mark Suarez – Euro Pacific Capital, Inc.: And have you found any attractive contracts out there, the prices that seem reasonable to you, or that meet your target?
Svein Moxnes Harfjeld: No. I think it’s fair to say that the holders of these contracts all seem to aim for higher prices than what you can obtain today.
Mark Suarez – Euro Pacific Capital, Inc.: Okay, great. Well, thanks for your time guys as always.
Svein Moxnes Harfjeld: Thank you.
Trygve P. Munthe: Thank you.
Operator: Thank you. (Operator Instructions) There are no further questions in the phone queue at this time.
Svein Moxnes Harfjeld: All right. Then we would just like to say thank you to everybody for your continued interest in DHT. Have a good day.
Trygve P. Munthe: Thank you.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect